Operator: Greetings, and welcome to the Primoris Services Corporation's Second Quarter 2014 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kate Tholking, Director of Investor Relations. Thank you. You may begin.
Kate A. Tholking: Thank you, Christine. Hello, everyone, and thank you for joining us today. Our speakers for today will be Brian Pratt, Chairman, President and Chief Executive Officer of Primoris Services Corporation; and Pete Moerbeek, our Executive Vice President and Chief Financial Officer. Before we start, I'd like to remind everyone that statements made during today's call may contain certain forward-looking statements, including with regard to the company's future performance. Words such as estimated, believes, expects, projects, may and future or similar expressions are intended to identify forward-looking statements. Forward-looking statements inherently involve risks and uncertainties, including, without limitation, those discussed in this morning's press release and those details and the risks detailed in the Risk Factors section and other portions in our annual report on Form 10-K for the period ended December 31, 2013; our quarterly report on Form 10-Q, which we plan on filing later today; and other filings with the SEC, Securities and Exchange Commission. Primoris does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required under applicable securities law. I'd now like to turn the call over to our CEO, Brian Pratt.
Brian Pratt: Good morning, everyone, and thank you for joining us today. I'm pleased that Primoris delivered strong second quarter results in spite of project delays we experienced along with the rest of the industry. We grew revenue by $70 million over last year's second quarter to $515 million. This gave us trailing 12-month revenue of over $2 billion. We maintained a steady backlog while growing our [indiscernible] net worth to $262 million. And the tailwinds driving our business, not the least of which, abundant shale gas and its significance in the energy and petrochemical industries continues to provide us with opportunities for growth over the next several years. Our revenue growth in the quarter came mostly from our East subsidiaries. This shouldn't surprise anyone as we've been talking about, over time, the potential expansion in the Gulf. We ended the quarter with $162 million of cash and equivalents and nearly $290 million of overall liquidity. Our balance sheet gives us the strength to continue investing in our current operations and also pursue avenues of growth. During the quarter, we've purchased nearly $19 million of new equipment. In early June, we purchased the assets of Vadnais Corporation, a California-based general contractor specializing in microtunneling for $7.5 million. Late last week, we closed another acquisition, Surber Roustabout LLC. This acquisition is smaller at about $4 million, but will give us an increased presence in the upstream oil and gas plays at West Texas, an area in which we are very bullish. I'm really glad Jason Surber will continue to manage the operation, and he's joining the team. I think he has great potential to add value to our shareholders over the long term. We are also in advanced negotiations with several more acquisition candidates, hoping to close a couple more by year end. Our total backlog on -- at June 30 was $1.8 billion, slightly up from last year's second quarter. I believe it shows an abundance of opportunity in our market that even with the delays I mentioned of -- in awarding projects, we've added nearly $400 million of new contracts to our fixed-price backlog. Since the quarter ended, we've already announced another $174 million of new awards. These wins span almost on our end markets. I'd like to remind you again that a greater portion of our work is being done under cost-reimbursable contracts, and a significant portion of that revenue never passes through backlog. By way of illustration, in the second quarter of this year, 23% of our revenue was from projects not included in the fixed backlog compared to just 18% in Q2 of '13. One more note I'd like to add, that I am very pleased with the tenor of our backlog. Before I move to more details to -- on our results with the various segments, I'd like to touch on some recent management changes. Several months ago, we slid Mike Killgore over into corporate development role and brought David King into the family as COO. These types of changes can be challenging and only succeed if everyone keeps their eyes focused on the prize, which, in this case, is Primoris' success. This has been the case in these changes and I want to say how very pleased and proud I am of both of these individuals and their efforts and results. Thank you to both of you. Now to our operating segments. Starting in the East. The Heavy Civil, managed by Steve Lewis who replaced Danny Hester as Group President, recently ramped up their burn-off in Texas and Mississippi, resulting in a 20% revenue uptick over last year's second quarter. They continue to win new work and currently have 124 projects underway. I am pleased with the prospects of this group. There not only continues to be significant opportunity in their traditional highway market but also in the Heavy Civil marine market. This is an increasing market for constructing and updating marine facilities to service the growing energy market in the Gulf. James has a strong resume in this type of work, including dock and wharf construction and piling placement and repair. Even the more traditional highway market is becoming a bit more exciting as we are seeing more design-build opportunities. This delivery mechanism can provide better operating -- opportunity for us, as it allows us to be more innovative in our bid process while at the same time eliminating some of our lesser-equipped competitors. The James I&M division also grew revenue as substantial scope growth increased on one of their larger projects. Not only have they seen major uptick in capital work, but their legacy maintenance works continues, evidenced by their negotiated -- their negotiation in April of a 3-year extension of one of their more substantial mine maintenance contracts. Margins were a bit less than we hoped -- sorry, guys, I've slipped a page here. Jonas Beatty's biggest challenge in the coming quarter is going to be managing his group's growth as the petrochemical expansion along the Gulf is presenting him with larger and larger opportunities. Jonas is one of our great young managers, and I don't have any doubt that he is up to the challenge. Cardinal's another group with strong growth opportunity. Bill McDevitt's marketing is becoming -- market is becoming contractor-capacity constrained --say that fast 3 times -- as the market tightens, we've seen pricing improve significantly. Bill's group is also working closely with Pat Riley at BW Primoris, and we hope to be making some announcements for wins for this group in the coming months. Looking at Primoris East. Primoris Energy Services, Jim Henry's group is leaning into an abundance of opportunity. PES doubled its revenue compared to last year's second quarter. They've aggressively grown manpower and currently have roughly 3,000 craft in the field. Demand in this market is great enough that clients' first question is often whether we have not -- have enough people to do the work or not. There is little doubt that the work along the Gulf is poised to accelerate. The PES division were large driver of group's growth for revenue. I want to thank Bubba Grimes [ph], for his team, for doing an exceptional job at Sprint so far this year. His top line growth has been spectacular and he has done a great job of managing it. His margins have been a little lower than we'd like, mostly due to one very large project we should finish in the next several months. As the job closes out, we are hoping to see substantial margin improvement. Cardinal Mechanical has relocated into the Sprint yard just south of Houston, and Don Patrick has expanded significantly his collaboration with Grimes' group. This should begin to pay dividends almost immediately. The PES Saxon division had solid revenue growth in the quarter and much more importantly, profitable revenue growth. The thanks goes to Jim Henry at PES and Jim Short who's been running Saxon for the past year. We're continuing to see strong demand for their services in the industrial gas industry while positioning ourselves to be substantial players in the future power generation market in the Southeast. New federal regulations would imply that about 45 gigawatts of coal-generating capacity may need to be retired over the next decade. It is anticipated that natural gas-fired plants will replace much of that capacity. Saxon will be a significant player in this market as much of the growth is expected to take place in their competitive geography. PES James Industrial more than tripled their revenue Q-to-Q as we've seen the Gulf industrial work pick up pace. Like James I&M, Conrad's team has seen significant expansion in scope on a project with a major client, and they now have over 1,300 craft at that site. Pricing continues to improve. However, they're doing more T&M work than in the past, which can produce slightly lower margin. Lower risk, lower margin. But overall, margins are increasing and we expect revenues to grow as well. James Industrial has continued to work closely with our engineering group, as they have made significant progress on the construction of a small LNG plant near San Antonio. James Industrial is also partnering with OnQuest on another similar plant in the engineering stage in the third and feed. The mini-LNG market is becoming very active and OnQuest is seeing their work increase for processed plant construction in addition to the legacy fired heater business. Both James Industrial and OnQuest should continue their strong quarter -- their strong growth over the next several years based on the opportunity available to them. In the West, ARB Industrial had another solid quarter. Margins were a bit less than we'd hoped, as similar to Sprint, we are finishing a large project and closeout is not complete. The outlook for large construction -- large-generation projects continues to be remarkable, as Southern California utilities are looking for 1,000 to 1,200 megawatts of new gas-generated capacity by 2016. ARB Industrial is working closely with several IPPs in support of their response to meet the capacity need. While we wait for these projects, ARB Industrial is keeping busy on several other jobs, most notably a crude oil unloading station in Central California, a combined cycle plant in Pasadena and multiple other cats and dogs. After several quarters operating a loss, I'm pleased to say that the ARB Structures is back in the black. I'm sure Mark Thurman is happier than I. They started 4 new projects this year and they're hiring staff to meet this deadly returning demand. ARB Underground continues to be busy, serving several large utilities in California, doing work under 2 PSEP alliance agreements, as well as gas and electric distribution under various MSAs. In the north, utilities are dealing with budgets and rate case issues. In the south, they're involved with new phases of their programs and both have the challenges of permitting in California. These issues lead to lumpiness, unpredictability and opportunities. These are also issues we've successfully dealt with for over 60 years. Scott's guys will deliver. Rockford, another of Scott's groups, has seen a decline in revenue compared to last year. But more importantly, their profit has increased. I guess Josh and Frank like the kudos they got last quarter for their strong margin, decided they like some more. Their margin was solid. While Rockford's capital projects were slow to be awarded this year, we recently announced $80 million of new work, and I feel confident that Rockford is going to be a strong contributor for the second half. The outlook for long-haul pipeline in 2015 and 2016 continues to appear to be exceptional. I'll finish with Q3C. Jay Osborn's guys continue to deliver extraordinary results, growing revenue with impressive margins. The Denver office, led by Jason Osborn, continues to perform exceptionally, and Mike Roussel on the Midwest team, with winter behind them, is really starting to do well. Q3C's revenue in the first 6 months of this year was nearly as much as their entire year in 2012. And even at higher revenue level, they've been able to maintain great margins. The Q3 guys are still a little pretty new to our group, but now that we've gotten past the fact that some of them talk a little funny, we're learning to love them. Leaving the segment, but before I hand it over to Pete, I want to address our stock performance during the quarter. I'm a shareholder just like you. And just like you, I've been frustrated with the down-drift of our stock price. There are also hundreds of employee stakeholders that own stock and I can tell you they're frustrated as well. The entire E&C space has been punished this year, but we seem to have been hit a little harder than others. I gave up quite a while ago trying to figure out what the stock price would -- or how it would rise or fall at any given day. However, I can say this. Primoris continues to be a great company, especially with all the employee stakeholders trying every day to make it better and better. We know our company, our markets, our clients and our competition. We also know we will succeed in creating substantial greater value for ourselves and the rest of our shareholders together. I personally would like to thank all of our stakeholders, both employees and investors for their confidence, commitment and effort. Now to the green visor part. Pete?
Peter J. Moerbeek: Thank you, Brian. As Kate said earlier, we anticipate filing our Form 10-Q later today, so I will focus on a few of the financial highlights of the quarter. In the second quarter of 2014, we earned $0.31 per fully diluted share on revenue of $515 million compared to $0.30 per share on revenue of $445 million in the second quarter a year ago, and $0.21 per share on revenues of $470 million in the first quarter of this year. Unlike in some of our previous quarters, the revenue increase was attained primarily in the East segment for which revenues increased by almost $103 million compared to the second quarter of 2013 and $55 million sequentially. Revenues for the West segment declined by $34 million compared to the 2013 second quarter and by around $10 million sequentially. For the quarter, we derived 8.9% of our revenues from Tech stock , and 8.8% from a Sprint underground pipeline project in Texas. Our overall gross margin increased by $1.7 million from the second quarter of 2013, and increased by $11.4 million sequentially. Compared to the second quarter of 2013, gross margin as a percentage of revenues declined by 1.5% to 11.9%. But that 11.9% represents a 130-basis-point improvement from the first quarter of 2014. Some of the reduction in company-wide gross margin percentage from 2013 to 2014 is a result of the significant increase in revenue in the East segment, for which the gross margin percentage tends to be lower than the West segment. In addition, our gross margin percentage for the quarter and for the first 6 months of the year were adversely affected by 2 projects. During the quarter we recognized no margin for approximately $65 million of cost on these projects, one of which is in our West segment and one in our East segment. For year-to-date, that amount is approximately $161 million. We fully expect that we will get to a positive resolution for these projects, but at this time, the timing or magnitude of that resolution is uncertain. As a percentage of revenue, our SG&A expenses declined from 7.1% in the second quarter of 2013 to 6.5% in the second quarter of this year. Sequentially, SG&A expenses increased by 20 basis points, reflecting slightly higher levels of compensation-related expenses. Our effective tax rate for net income attributable to Primoris increased to 39.75% for the first 6 months of 2014 compared to 39% in the first 6 months of 2013. The increase is primarily from the variability of state tax rates and the partial nondeductibility of per diem expenses. At this time, we expect that the rate for the remainder of 2014 will be at or slightly below the 39.75% level. As Brian mentioned, at the end of the quarter, we had $162 million in cash, cash equivalents and short-term investments. In addition, we had $70 million of available capacity on our credit line. As we hope that you noticed, our press announcement included a reference to a 14% increase in quarterly dividends. We spent $22 million on CapEx in the quarter. For the year, our CapEx purchases less sale proceeds are $36 million, which is $8 million more than depreciation and amortization for the same period. For the full year, we still expect net CapEx at a level of $55 million to $65 million. Our total debt was $220 million at the end of the quarter. Of that amount, $75 million is long-term debt with a weighted average interest rate of 3.72%, a $141 million was note-secured specifically by equipment with a weighted average interest of 2.23% and $4 million was capitalized leases. Our total debt-to-equity was at 52%. We currently have 2 earnout liabilities on our balance sheet, one for Q3 contracting and one for Vadnais, which we purchased during the second quarter. The earnout balance was $5.4 million at the end of the quarter. And if both companies attain their targets for 2014 as we anticipate, we would pay $5.9 million in the first quarter of 2015. So we would have to expend an additional $500,000 in the remainder of this year. For the first 6 months of the year, our total amortization of intangible assets was $3.7 million. With the addition of Vadnais, that number will be $3.8 million in the second half of 2014. Operating cash flow was $19 million for the second quarter of 2014, an improvement of $23 million over the second quarter of 2013 and a sequential improvement of $40 million. We used $6.4 million of cash to purchase the assets of Vadnais in the quarter. Total backlog at June 30 was $1.83 billion virtually, the same as at March 31, 2014. Backlog consisted of $1.35 billion of fixed backlog and $480 million of estimated MSA backlog for the next 4 quarters. The total segment backlog is $1.2 billion in the East, $584 million in the West and $80 million in Engineering. At the end of last quarter's call, I said that we would expect to re-segment in the next quarter. I have to reiterate that statement. We expect to re-segment in the next quarter. As Brian and David King, our COO, consider our growth opportunities, both organically and through acquisition, we want to establish reportable segments that best align with how we manage our business. With that, let me turn the call over to the operator for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Lee Jagoda with CJS.
Lee Jagoda - CJS Securities, Inc.: Can you dive a little deeper into the $65 million of costs and try to split that East and West?
Peter J. Moerbeek: Lee, at this point we're -- we want to be a little careful and not go too far because we're still in negotiations. Order of magnitude on the -- for the whole year, it's around 50-50 between the East and the West.
Lee Jagoda - CJS Securities, Inc.: And so if there were all these costs that add basically no margin in the West in Q2, your margin was still exceptionally good. What are the positive offsets in that number?
Peter J. Moerbeek: I think we had really strong margins at Q3C. They were terrific. Rockford did well. So and even margin-wise, Scott did well. Percentage-wise.
Brian Pratt: And you had the turnaround at -- of the companies of FSSI, which we've eliminated. We didn't have any cost there, but Saxon really did exceptionally well. Jim Schwartz has done a great job turning the corner on that one.
Lee Jagoda - CJS Securities, Inc.: Okay. And then, Brian, on the PG&E side. Where do you think we stand on the next phase of replacement work related to the Adelaide A and the Adelaide [ph] B? And does that have to ramp prior to Q3 to be able to do it just given the heating season in California?
Brian Pratt: Well, PG&E's constantly gone in for rate adjustments and for money to get -- renew the rates for reimbursement, and they keep expecting one thing and the utility commission gives them a little different. So they're kind of moving money between buckets. I don't -- the Aldo [ph] project is going to happen. It has to happen. Right now, I just heard a couple of days ago, they're shifting some of that money over to do other things that the utility commission has found to be more important. And those other things are more steel pipeline, which we get a lot of that work, too, if not the preponderance of it. So all in all, if they have a normal spend, we'll get our normal share plus. Whether they get any Aldo [ph] done this year, I'm not sure. But that's probably a decade-long project if they try and replace as -- at the same rate that did the copper. So we're not -- we're counting on it at some point. We shifted those guys over. Those guys who do that work can also do what they call the Rule 20 work, which is taking overhead and putting it underground. And some of the steel work, too, because PG&E system's a bit of complex menagerie of different -- everything's kind of blended together on their system. So we're keeping the management guys busy. We think we're going to see our normal crush. Usually, what happens, these guys underspend through 3 quarters, and then the fourth quarter's a mad rush to get to their budget numbers. So.
Lee Jagoda - CJS Securities, Inc.: Okay. And just -- can you remind us on the ability that -- your ability to ramp workers ahead of demand quickly in California?
Brian Pratt: Well, that's what I was going to point out. It's important for us. We are -- we serve a need for our clients. If they didn't have this lumpiness and these surges and this ebbing tide, they wouldn't need us. They'd do it with their own crews or they find a lot cheaper guys. But we have a tremendous capacity in the fact that we have so much equipment and so many people were drawn and such great management that's dedicated to them and that market, that we really do well when the crush hits. And the rest of the time, we do kind of okay. Well, we actually do good, but well, in the third, fourth quarter, when the crush hits, we do excellent. And that's what makes the opportunity for us. And then we think that, that -- we'll see that, with both Sempra and PG&E and Edison, who are the 3 utilities here, have all the same projects -- problems. One of which is permitting. I mean, California is just a tough environment to get permits in, and even the utilities have to get permits. And it's a changing environment. So that causes a lot of lumpiness and a lot of shifts because these utilities are going to spend their money. And if they're hung on permits in one area and they can get permits at another, guess what. They'll shift over. Now the good news for us is we service almost all of the areas except for overhead, and there isn't a lot of spend to be done on that, that we see in that market that we can get to. So we think we're in great shape, no matter which way the money flows.
Operator: Our next question comes from the line of Tahira Afzal with KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: So I guess, if you look at your bookings, not as bad as I think, at least, I perceived, and going forward, it seems, Brian, you're still pretty positive. So as we look for your earlier guidance and put that into perspective, where you talked about East segment margins ramping up, some of your existing backlog starts to play out, but at the same time, you've seen some delays in some of your industrial fabrication work, how do we look at the margin trajectory into the second half of the year now versus your earlier indication spread?
Brian Pratt: Well, I don't view the backlog as any bad news. You have to remember that a very large portion of our backlog consists of Heavy Civil and Heavy highway work. And that is, in general, at a lower kind of margin level than the other work. Now we've seen a considerable shift in that backlog where the other work has increased in the composite and the Heavy Civil has decreased. Now the Heavy Civil guys are -- they got plenty of work, they're doing well, they're booking what they want to book. But as I mentioned in my presentation, if I got that page read, the tenor of our backlog, I'm very happy with. And that would tell you that I'm really happy with the margins that are built into our backlog. And I think it's going to continue to improve. So I'm not unhappy at all with our backlog. The number's kind of the same as last quarter, but I like the mix a lot better. And as I said also, we continue to do more and more of this reimbursable work and it's at a higher-margin than what some of the backlog is on the Heavy Civil side. Where we need backlog, we have it. Rockford, Q3, in the East, in -- for Primoris Energy Services, a lot of that isn't backlog, it's reimbursable. In the West, at PG&E, Scott's going to do that work. We know they're going to spend that money this year. We haven't figured out where yet, but you know what? We're everywhere. So we're pretty sure they're going to spend it, a lot of it with us. And we're starting to see good backlog builds in like the water and wastewater and stuff like that. So don't read -- talk to Pete whenever or analyze it, but look carefully or have Pete give you the tenor of where that is, and I think that'll give you a lot more optimistic picture as to what our margin should look like downstream.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it. And let me put Pete on the spot, then. And Pete, if you look at where you folks were at the end of second quarter last year, it's kind of flattish on the backlog side. And as you said, you are entering the second half of the year with probably a higher amount of volume coming out from ask-bid work. So should is there -- are there some nuances around you potentially delivering a $50 million sort of run rate for the second half of the year for operating income like you did in the second half of last year? Are there some nuances we need to take into consideration, both positive and negative?
Peter J. Moerbeek: I think that if you remember last year, we had a very large project that Tim finished that was one of the best projects we have had in our history, and it clearly helped our margins in the West. I think what you will see this year is much stronger margins in the East than we saw last year. And clearly, depending on when we get resolution on some of these issues that I mentioned, that could have, obviously, a significant impact. But I would anticipate that you're not going to see the big drop-off that people were worried about, because I think we are seeing some real good positive things happening on the East and that it's made a really good contribution. And then the work that Q3 is doing has really helped to keep the backlog -- to keep the margins up on the West side. So I think we're comfortable that we should be able to do something pretty well in the second half of the year.
Operator: Our next question comes from the line of Jason Wangler with Wunderlich Securities.
Jason A. Wangler - Wunderlich Securities Inc., Research Division: Brian, you've talked about in the past a lot of the delays in things being on the engineering side, a lot of awards, and obviously you guys have started seeing quite a few things kind of trickling out so far this quarter. Are you still seeing kind of those delays being from the engineering side? Or are we starting to get to a point where the customers are starting obviously to look to you guys to start actually putting boots on the ground?
Brian Pratt: Well, it's upstream of us are the delays. Some of it's engineering, some of it will be procurement, but a lot of it's permitting. You take the Sasol project, for example. It's still waiting for AQ -- quality -- air quality permits and wetland permits and everything else. And these are -- a lot of these are federally dictated permits, at least even if not the standard, the actual permitting itself. And there's a lethargy at the federal level to get these permits out and it's really starting to impact some of these larger projects. So I read an article on Sasol just a couple of weeks ago, they're talking about how they're still waiting for their air quality and their wetlands permits. That's a big project, a lot of jobs. It's unfortunate. It's kind of -- and I don't know if it's hung up there or they anticipated to be in this long. But we have some work pending with them. We hope to be able to finalize the contract during the next couple of weeks. We're supposed to have started in January or February and now we're talking August or September if it goes then. So and that's a lot of business for that part of the world. That total project was the cracker in the GTL, you're talking $15 billion, $16 billion worth of infusion into the economy. So and that's typical. All these guys are struggling getting permits.
Jason A. Wangler - Wunderlich Securities Inc., Research Division: Sure. No, that's helpful. And then obviously, the small acquisition, the 2 that you talked about and looking forward to, is there a certain end market you're really focused on or even geographic regions within that? Or is it more just trying to expand into kind of where you're at in finding things you could expand? Because obviously, the balance sheet is ready and ripe for being able to find something if it's the right price.
Peter J. Moerbeek: At the risk of some other guys getting mad at us, we're kind of like a cancer. We just grow where -- we look for soft spots, as Jay Osborn would say. A lot of it is opportunistic. We wanted a larger presence in West Texas. Jason Surber's a great kid -- not a kid, he's 30-something. Good guy. He's going to be a long-term, just a great find for us. He's very active. In the south part of West Texas, Jason, you follow this industry pretty well. So it's -- down in the new Cline field and down toward Wolfcamp. That's kind of his home base. And that's where I see a lot of the drilling activity over the next 5, 6, 7 years. And so we wanted to be there, and we've kind of rolled that into Sprint. And so Sprint's there doing midstream work, Jason's there doing kind of upstream work. Roustabout work, wellheads, flow lines, stuff like that, well pads. So that was a little bit of strategy with -- obviously, finding the guy was the art because it's hard to find anybody out in West Texas. The towns are so far in between. The deal of that day was, again just an incremental increase in our capacity. If you're going to do underground work, you need to be able to drill or tunnel or whatever, and we've been doing it for 60 years. And we thought Paul had a great operation. We've known him for 30-something years. And the ability to tunnel is becoming more as important as the ability to drill, especially tunneling is cleaner than drilling in the aspect that you don't have the waste, the liquids to deal with, the drilling muck. We're looking at things that lean into our skills, into our current markets, fabrication facilities, little niches that -- our goal is running head-to-head with, Fluor, Jacobs, people like that. They're actually some of our better customers. It's serving them better and serving the Sasols of the world, people like that better. And there's still a lot of room to grow and there are still guys out there that really want to be aligned with a bigger company. And we add a lot of value to the smaller guys that just need a little bit of weight and umph right now to -- I want to see the transcriber get that word umph U-M-P-H -- to these guys so they can grow into the markets that they're capable of growing into. And then we're looking at new areas. I mean, these are small ones. I think we paid around $4 million for Surber and there are some earnouts. Don't mistake that the fact -- for us not looking at bigger ones. But some of the bigger ones are even transformative, but those are long shots. We work them and if there's chemistry and it really looks like it's a home run, we'll pursue them. But we've got Mike Killgore over there now and Chris Wolohan and they're looking at acquisitions. That's what they get paid to do. And their hammer's looking for nails, so they're going to find some nails.
Operator: Our next question comes from the line of John Rogers with D. A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: A couple of things. I guess, Brian, first of all, in terms of the big project opportunities, and you mentioned a couple of names there, but -- and you've talked about the delays in permitting, but how long do you wait for these? And when do you start accepting other work? In other words, I mean, are we going to see an improvement in bookings near term? Or do you think that's more out, we have to wait until 2015 now? I mean, particularly in the East, sorry.
Brian Pratt: John, our business is -- it drives you guys crazy because it's kind of complex and it's got all these moving parts. For me, it keeps me excited because there's just constantly something going on that I can learn and relate to. The business is very segmented, like the pipeline business, for example. We've actually been awarded some work next year, we're not under contract yet, but it's not a huge job. It's, I don't -- $50 million, $60 million. But in general, they don't book a lot of work ahead, 2 or 3 years ahead. The Highway guys do. So I know you guys live and breathe and then die backlog, I don't as much. I look at the tenor of it, I look at what's in it. I look at what's immediately available. I Look at our hit rates in those industries. Because the pipeline guys, historically, they're going to burn up 95% of the backlog they booked that year. And a lot of the work we do on the utility side, we bid it today, burn it over the next quarter, and you will never see it in backlog. It's gone before you get it. So are we going to see a lot of bigger bookings? Probably not massive because if you look at the composite of our backlog, a lot of it's Heavy Civil. And they've got, I don't know, $900 million of backlog, that's -- for a $250 million, $300 million outfit, that's 3 years' worth of backlog. That's pretty good. Are we going to go out and probably add another $1 billion to that? Well, we could. There's some bigger jobs for the core and some design-build jobs that we could, but is that really good news for the EPS? It's good news, but it's not going to really push us over the -- push us to a huge number because it's just a little skinnier work than some of the other groups. So and the bigger work we're talking about, we just had all the guys together last week, and it was really great because I've never seen as many guys as excited about their prospects as these guys. But a lot of work we're going to look at in the East, the Sasols, the CNFs [ph], there are $200 million , $300 million, $400 million, $500 million, $600 million jobs that will never see backlog because it's cost-plus. And that really is where we're going to see a lot of the growth, and that work really has pretty good margins. Now historically, they've been lower than they're going to be, but we've got a tight labor market and an even tighter management market, so backlog isn't the key to us really being successful at this point. It's picking the right jobs with the higher margins, and picking the right clients. The CF [ph] job started out as like a $90 million job. It's going to be close to a couple of hundred million, we think. And that never saw backlog.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. Well then -- not on backlog, but when do you expect some of these project to kick off? I mean, how long do you wait for them?
Brian Pratt: I don't know. What do you do while you're waiting? It's a problem because -- I'll tell you, when we started talking to one of these big projects and the owner, we committed a pretty good team. And it's delayed for about 8 months. Now we've got other stuff for those guys to do, and the owners, they're great guys, they came to us and said, "Let me help you by keeping some of your guys busy." Well, you got 4 or 5 really key guys that should be managing 600 or 700 craft, and they're -- we're getting paid for them on cost-plus. You really don't get much bang for your buck. I think, knowing our business, if we'd just gotten into this 1 year or 2 ago, it would be a problem. Knowing our business, every once in a while, you're going to write a loser, but most of the time, if you're good and you know your business and you've follow the processes, you'll pick the right guys as clients. Unfortunately for us, unfortunately for them, it's kind of a hard market to pick clients. So I think we've picked the right clients. And Primoris Energy Services, with James and Sprint, those companies existed 3 years ago but about -- I would guess that at peak, they had about 1,000 employees. Today, they're running 3,000 employees in aggregate. So we're already seeing the boom. We've seen a falloff a little bit on the industrial in the West. PG&E hasn't been out of the chute very strong this year. But when all of that engine starts hitting all those cylinders, it's going to get very exciting. Now that, to me, could be we're going to see a prelude to it this third and fourth quarter, but it's really going to hit hard starting probably first or second quarter of next year.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And then -- and I know you're going to re-segment, so this may be mute later, but if you see that growth, do we see margins in the East ever rival the West? Or is it just because of the scale of the projects and the materials involved that it will be in the high-single digit range?
Brian Pratt: Well, the -- if Pete ever gets it re-segmented, the...
Peter J. Moerbeek: Next quarter.
Brian Pratt: Yes. The East will end up being just Heavy Civil, so and those margins, they will improve. I think that, that business is beginning to become short of capacity, even with some really disfunctional budgeting -- Congress just can't get their act together. I think in general, we'll see a strong increase in the East on the energy side, and I think they will rival the West. We -- those have been dragged down, we bought Force. That didn't work out very well. Saxon was a loser for us last year. We've now pretty much merged Force into Saxon, and Saxon is doing exceptionally well. They're doing a great job. So a lot of it -- a lot of the drag's gone away and we're sailing pretty good. And so I do see -- I think you'll see comparable margins in the East if you don't count Heavy Civil. That kind of business that the granites and the sterlings of the world are in, just don't have that great of gross margins. And you know that, John. You follow this business very closely.
Operator: Our next question comes from the line of Dan Mannes with Avondale.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: A couple of follow-up questions. So first, as it relates to the industrial side. You obviously made the point that it's not really a backlog-driven story, but in the past, you have certainly PR-ed these awards. We haven't seen a lot of major awards, whether they're backlog or not. Just in confirmation of your answers in previous questions, do you still expect the startup of that stuff later this year or early next year? Or do you see the delays pushing it further beyond that?
Brian Pratt: We're in the middle of it right now. We haven't made a couple of announcements of significant jobs because the client has asked us not to. And that's hard for us because we know it's important to give those -- that information to you and to our shareholders. And it helps our guys, it buoys them up when they see these announcements. But we respect the client's confidentiality. A couple of these are fairly good size, and they're significant in the nature of the contracts. So I think we're going to have a great second half. Now every one of these contracts, I've said this probably 50 times on these calls, every one of these contracts has a cancellation for convenience. We built half of a hydration plant. Actually 2/3 of a hydrogen plant for Praxair and the Chevron refinery in Richmond, and then they canceled it because all of a sudden, Chevron's permits were no good. So just because we have it one day doesn't mean we have it the next day. That's the nature of all these jobs. But the pipeline business continues to be very strong in the East and in the West. The utility business for Jay is exceptionally strong, and he's finding a lot of soft spots. I mean, this guy is a hell of a hand. He's really done right by us, with him and his team. Tim's got power, we're coming on like you wouldn't believe in '15 and '16. Well, how fast it gets started, I don't know. We've got a couple announcements there we're hoping to make as we're getting pretty close, but you've got a bureaucratic morass you've got to work these projects through in California, and out of respect for our clients who've asked us not to announce, we haven't announced those. So I'm not sure what other parts we need to talk about, but the energy services, I mean Louisiana was the largest industrial employer for construction services in the United States last year, like 5 -- almost $5 billion. We're just scratching the surface. They're talking about a total spend of $50 billion to $60 billion just in Louisiana, and that's what we know about. And as people become more and more in belief of this long-term, cheap natural gas due to shale, they're going to be a lot more willing to spend a lot of money exploiting that and I think that's going to lead to even more opportunities. So I got to tell you, we're going to run out of people before we run out of opportunities very soon.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Okay. On a similar note, I'm sure you guys noticed, Sempra went to FID on the Cameron project. Whether or not you work on that, do you think maybe that project moving forward, does that help maybe break a log jam? Or each one of these pretty individualized in terms of the decision-making?
Brian Pratt: Well, we're hoping to do some work on that. We did -- we were kind of eligible to win pieces and parts of mostly all of them, unless one of the big guys wants to -- decides they want to self-perform and only God knows why they'd want to do that in a tight labor market. But the more that's out there -- it's kind of a good news, bad news thing. The more that's out there, the tighter labor gets. It's harder to find people, but your margins go up because you'd become more constrained capacity-wise. So we'd like to get the first ones. That's been a little bit disappointing because you want the first ones, I call it pissing on the hydrant. So you get on the site and stake out your territory before the other contractors get in and start crowding you. But anything to do with dirt or Civil or now piping with PES or Mechanical, we've got great guys. And I think we're going to get more than our share. And there's going to be a gob of it.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Okay. And then lastly on the pipeline side. Obviously, you had a -- actually, a pretty substantial amount of work at Rockford last year on large projects. You obviously, commented margins have been better this year even on lower revenue. When you look at maybe the completion of Seaway and where you are now in terms of backlog, how do you view utilization for the next 6, 9 months versus maybe where you were last year?
Brian Pratt: Well, your summer is always your busier season. So if you're looking or standing there in September, and you got no work, well, you better check to see if you've got the right estimator or the right client list. Frank has got -- he just picked up some work we announced for MarkWest in Virginia. It is tough work. I mean, West Virginia straight up and straight down, where these guys are working. It's smaller pipe, but it's tough work. And they're talking to us about some more work, and we've got the Williams work. I'm pretty pleased with where we are. I mean, he really has got enough to keep his capacity going. Unlike some of the other rumors that have gone around, I like the midstream margins right now. I can't complain. If you look at Frank's, that's indicative of just better margins, not worse margins. So I don't have any fear of any soft spots in the rest of Frank's schedule for the rest of the year. And that, on an average basis, that's about as good as it gets in the pipeline business. If you can feel like you're full to the end of the year at this point in time, you're in good shape. Because this work, like you know, you got a little bit of work to -- on an annual basis, it carries over into winter, but most guys can't work in the winter, most places and so your work is focused on 3 quarters. And there's so much work coming next year, big work, that if we can get through this year and continue with these kind of margins and launch us into next year with the big work hitting, we're going to be in great shape. And then Sprint's done very well. We've got -- He has got one tough job and the job had some permit issues and some logistics issues and we're fighting our way through it and as we -- as you guys all know, we're pretty conservative on how we reflect those jobs and so we're hoping to see on closeout some upside there, but it's a tough client and it's a tough job and they've got a tough schedule. But our guys are doing a great job and we're kind of prepared to do a very pointed closeout with these guys to get them to the place where they treat us right.
Operator: Our next question comes from the line of Mike Shlisky with Global Hunter.
Michael Shlisky - Global Hunter Securities, LLC, Research Division: I wanted to just touch on seasonality here in the back half of the year, over the last couple of years, it's been different between Q3 and Q4. Based on what you know today, I wonder if you could just give us a view of how it happened. Is it safe to say that Q3 will be better than Q4 from an earnings standpoint?
Brian Pratt: A lot of it depends on this -- whether we have the kind of normal year-end crush with some of the utilities. And as you peel these big jobs off, we're very conservative. I know you're kind of new to following us, but -- and I appreciate you picking us up. We run these jobs fairly conservative through the work in process until we're fairly confident we're going to get paid, we're going to get paid the right amount, we don't have any warranty -- immediate warranty issues or we got some cost that just didn't seem to get captured. So it depends on how the big jobs close out. We've got this -- a couple of big jobs that we -- were done in California that was a trouble job. We did a great job, our client just doesn't seem to want to pay us. So we've been very conservative. We did over $100 million of work for this client, and we haven't booked a dollar's worth of profit. When that closes out -- trust me, I've gotten to be very, very good at collecting money. It's not a skill that I'm particularly proud of, but I'm good at it. And by -- when we're done, we're going to get our profit on this job and now will that come in third quarter, fourth quarter, first quarter? I don't know. I guarantee you, it will come in. And that can swing a quarter pretty aggressively. So in general, we think our third quarter's pretty typical with the fourth. They're kind of twins. But they can vary by $0.05 or so.
Michael Shlisky - Global Hunter Securities, LLC, Research Division: Okay. Okay, great. And then just going back to this past quarter. In East segment, I was wondering if you were surprised at all by how some of the contracts progressed. Or did everything kind of come in as you had planned at the kind of start of the quarter as far as what you're able to put into your top line?
Brian Pratt: I didn't get the whole question. Pete, did you hear?
Peter J. Moerbeek: Yes. I think, we -- it came pretty much the way we expected. We mentioned that we have 1 good-sized project, on which we are not recognizing any margin. But I think we're quite pleased with the fact that our Heavy Civil guys are doing much better than they did the last few quarters. And obviously, the James Industrial guys, part of PES, have done a great job and are continuing with their project. So I'd say, overall, it was at least as good as we expected. Margins weren't quite as good as they could've been because of the conservatism we used on the 1 job. But this is the first quarter in a while where the East has really been in the position where they helped carry all of us.
Operator: Our next question comes from the line of Adam Thalhimer with BB&T.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: The big multiyear contract that you got with the Southern California utility, did that -- has that ramped up yet?
Brian Pratt: No. It's -- what happened is they gave these various regions to a bunch of contractors. I guess there was 4 of them, if I remember right. And we got the plum. We got the L.A. basin. And they're still engineering, trying to get their processes together, but it just now is beginning to ramp up. The good news is that they're going to spend more quicker in our area than they anticipated. I guess because it's probably easier to permit than some of the outstanding -- outlying areas. They don't have too many endangered species on Sepulveda Boulevard. So we're looking for that to be quite impactful over the next 3, 4 quarters.
Peter J. Moerbeek: Yes. About $1.6 million in revenues from quarter to -- I mean, from 2013 in Q2 to 2014 Q2.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: I wouldn't consider that ramping up.
Peter J. Moerbeek: Not yet.
Brian Pratt: No. But I know that we had a meeting with them and they weren't sure whether we could manage all the work they're going to throw our way. Of course, they typically underestimate our capacity. But they seem to think the dam's about ready to break, and we're actually gearing up on some of it as we speak. But a lot of it, the way we attack this work is we get with them, they show us a design, we help them evolve the design for constructibility and value engineering. And then we agree to a target price and then we go in. And if we beat the target price, we share on that. If we don't meet the target price then we share in that burden. So it takes a little while once they cut the loose out -- cut the work loose. It takes a little while to get ramped up, and we're in that kind of constructibility/value engineering stage with a lot of this work.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Got it. Okay, And then on California Power, what's the nature of that work, Brian? Is it repower? Is it a new build? Is it renewables? Peakers, I mean what are you seeing out there?
Brian Pratt: A little bit of everything. That's part of the problem is, I know [indiscernible] going to be gone, they've got this once-through issue. They've got some older plants that are inefficient. They've actually still got some plants burning some pretty dirty fuel. And so, the DWR and the CEC -- they've got 3 agencies that are involved on a lead basis, so you can imagine how many other agencies are involved. And they all have to agree on where it is because they want it near where it's needed, what type it is, and then if it's renewable and it's intermittent, then they have to have redundancy. And it's just -- it's a morass. I wouldn't want to be the poor guy at the state trying to figure it out nor the developers trying to play into it. They came out with some preferred sites based on where they need the power because you'll lose a significant amount of power wheeling it through the grid or pushing it through the grid. And they also -- if there's a grid outage, they want to make sure there's enough redundancy in that area to satisfy the need. So we're working with several of the utilities direct for their direct construction and ownership, and then we're working with the IPP guys, and we're working kind of across the board. And a lot of it is this new technology like energy use, the Siemens 30-minute start and some of it is pure peaker and some of it is a peaker with a little blend of a hersey [ph] gun on the end to make it a little more efficient. And then there's still, obviously, the renewables for us still moving forward. There will be another iteration of that here pretty soon. And it's going to eventually go distributed. There'll be more smaller, nonutility scale distribution, and we haven't decided whether that's a business we want to play in yet.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Got it. Any movement on water demands, Brian?
Brian Pratt: Well, you mean in California or across -- for us?
Adam R. Thalhimer - BB&T Capital Markets, Research Division: I was thinking more that Florida to Texas corridor.
Brian Pratt: Oh. Yes, we're working it pretty hard. We're about halfway constructed on the Seminole project and we're buying their water and cleaning it up and selling it back to them. And we're working several other small deals like that, and then some bigger deals. A part of the real problem is that a lot of the big water use, particularly in West Texas, is used by the coal power plants. Well, those poor guys, they don't know if they're even going to be in existence in 4 or 5 years. But they need water, they're desperate for it, because coal plants take in a lot of water, but they can't sign long-term agreements. And there's just no water available to them, so it's really got them in a bind. And then of course, it takes those big base loads to be able to build a system -- or a supply system that will serve as some of the munis that are located near those big base loads. So a lot of it's chicken and egg, but the need's still there and we're working it hard. And we think we're going to see some pretty good stuff break loose in the next couple of quarters. It's one of those things, it's like ketchup. You keep shaking the bottle and nothing happens, then it all comes out at once.
Operator: [Operator Instructions] Our next question is a follow-up question from Lee Jagoda with CJS.
Lee Jagoda - CJS Securities, Inc.: Just had one quick follow-up. If I look at...
Brian Pratt: You again?
Lee Jagoda - CJS Securities, Inc.: It's me again. If I look at the $65 million of revenue at 0 margin, and I adjust that out of your total, adjusted margin for the quarter is around 13.6%. Is that a good way to think about a base margin to then grow off of in the back half?
Brian Pratt: I'll let Pete deal with that one.
Peter J. Moerbeek: Sorry, Lee, I'm not going to give guidance. But it's not a bad way to look at it.
Brian Pratt: I think to augment Pete's answer a little bit without giving guidance, I think we've been talking for the last 4, 5 quarters about margins drifting up. And if they're going to go up, I think just based on work mix not just better contracts because the Heavy Civil is a lower margin, some of the water, wastewater's lower, it's becoming a smaller component of our revenues. So I think we should see some margin expansion.
Operator: Mr. Pratt, it appears we have no further questions at this time. I would now like to turn the floor back to you for closing comments.
Brian Pratt: I'll conclude by thanking you, all, for your time and interest in our company and your investment, if you have some. Goodbye.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.